Operator: Good day, ladies and gentlemen. My name is Luke. I will be your conference operator today. At this time, I would like to welcome everyone to the NXT Energy Solutions 2019 First Quarter Operating and Financial Results Conference Call. [Operator Instructions] 
 I would like to now turn the meeting over to George -- Mr. George Liszicasz, President and CEO of NXT Energy Solutions. Please go ahead, sir. 
George Liszicasz: Thank you very much, Luke, and thank you, everybody, for joining us today for NXT Energy Solutions First Quarter 2019 Financial and Operating Results Conference Call. This is George Liszicasz and joining me on today's first quarter conference call is Eugene Woychyshyn, Corporate Controller and Interim Chief Financial Officer; Rashid Tippu, Director of Geosciences for Africa, Asia and the Middle East; and Enrique Hung, Director of Geosciences -- Geosciences for the Americas. 
 Since our last conference call, we have successfully completed the acquisition phase of the Nigerian SFD survey. And now we are interpreting the data. I will provide you more updates later in this call. 
 The purpose of today's call is to briefly discuss the highlights of yesterday's release of NXT's first quarter 2019 financial and operating results and to update the market on our business activities. Following our update, we will open the line for questions. Please note, all statements made by the company and management during this call are subject to reader's advisory regarding forward-looking information and non-GAAP measures set forth in the first quarter results, press release and MD&A issued yesterday. All dollar amounts discussed in today's conference call are in Canadian dollars unless otherwise stated. 
 The company's financial and operating results and the unaudited financial statements for Q1 2019 were published yesterday and are available on NXT's website as well as on SEDAR's website. 
 The first quarter was busy for the company, and the primary focus on negotiating and planning our SFD survey contract with PE Energy in Nigeria. In addition, my team and I spent the quarter continuing discussions with other potential business partners across the globe. I will expand on the key milestones reached later in today's call. 
 Now over to Eugene for the financial review. 
Eugene Woychyshyn: Thank you, George, and welcome, everyone. As George mentioned, our first quarter 2019 financial statements and management discussion and analysis were filed on SEDAR's website yesterday and will be available on EDGAR shortly. 
 From a financial perspective, the focus remained on continuing to reduce noncore corporate costs and in this quarter, negotiation and preparation of the Nigerian SFD contract. For the first quarter of 2019, our financial results were as follows: there were no revenues earned in the quarter, but we did receive a mobilization fee of USD 300,000 for the Nigerian project. For the quarter, NXT recorded net loss after tax of approximately $1.76 million or a negative $0.03 per share-based on 68.6 million weighted average common shares outstanding. This is an improvement of $0.2 million over 2018's quarter 1 net loss. Headcount costs were lower, offset by an increase -- increased aircraft maintenance costs as we finished the major maintenance on the aircraft before it left for Nigeria. There was no change in our shares outstanding during the quarter. As a result of the recently signed cooperation agreement between Alberta Green Ventures and NXT, the company has received conditional approval from the Toronto Stock Exchange to extend the warrants held by AGV for 12 months until February 16, 2020, subject to disinterested shareholder approval at our Annual General Meeting on June 25. 
 Total operating expenses for the quarter were $1.7 million. This included noncash expenses of $0.45 million related to amortization and stock-based compensation expenses. Operating activities used $0.88 million of cash during the quarter. Cash and short-term investments were $3.35 million at March 31, and working capital was at $1.98 million. Please note, as a result of the new lease accounting standard, ASC Topic 842 as at January 1, we added $3.54 million for right-of-use assets and $4.08 million for lease liabilities on our balance sheet. This reflects the value of leases for our aircraft, office building and office equipment. There was no material effect on our net loss or cash flow from the lease standard change. G&A expenses decreased 6% or $59,000 in Q1 2019 compared to Q1 2018, as a result of the company's cost reduction efforts, offset by Nigerian contract negotiation costs. Salaries, benefits and consulting charges were lower in Q1 '19 when compared to Q1 2018. This was due to a lower mix -- lower cost mix in corporate staff and 1 less headcount. Board, professional fees and public company costs were 21% higher or $39,000 in 2019 as the company incurred contract negotiation costs to finalize the Nigerian SFD contract. 
 Building and administrative overhead were -- was 5% higher or $7,000 in Q1 2019 compared to the same period in 2018, as building costs were higher due to property taxes and maintenance costs. This development cost decreased by $25,000 in Q1 2018 compared to -- in 2019 compared to 2018. 
 During the quarter, the company focused only on high probability prospects as resources were focused on securing the Nigerian SFD survey. We ended the quarter with $3.35 million of cash and short-term investments on hand and a working capital balance of $1.98 million. However, as clearly noted in our financial statements, this will not be enough to sustain the company past the next few quarters if the additional Nigerian SFD contract payments were not to be received or if needed for the financing or not to materialize. 
 As previously reported, though, 2 weeks ago, NXT did receive USD 1 million payment for the Nigerian SFD survey. 
 I would now like to hand the call back over to George to further discuss our business update and forward plans. 
George Liszicasz: Thank you, Eugene. I'm going to start our business development discussion with Nigeria contract and then discuss additional opportunities. 
 The prerequisite for this USD 8.9 million contract was a test flight, designed by the Department of Petroleum Resources, DPR, to be conducted in Nigeria. DPR is the regulatory body of the petroleum industry in Nigeria. The test flight was to be carried out offshore. At the last moment, however, the test flight was switched to an onshore area designed by FES, the Frontier Exploration Services, an organization responsible for onshore exploration for NNPC, which is the Nigerian National Petroleum Company. 
 Within days, we presented our preliminary results to NNPC and received approval for the project. I just want to emphasize that no exploration company on this planet could have done this. Just think about the time that it takes to design and put together and get permits for seismic acquisition. There is a company that is the closest competitor to us, who has been in the country for 6 months and completed only 40% of their project, and they have produced no results. So once our test results were accepted, we submitted an invoice to PE Energy Limited, a Nigerian oil and gas service company that has a contract with NNPC for 5,000 line kilometers of SFD surveys. As scheduled, NXT received an additional USD 1 million that we announced on May 2. We started the 5,000 line kilometers data acquisition phase on April 17 and completed by May 2, 2 weeks. And we are currently processing the data for interpretation. 
 I am pleased that we have not only completed the surveys required by the contract, but have also acquired the 5,000 line kilometers of data in record time. Interpretation has commenced and recommendation that it's expected to be delivered during the third quarter of 2019. As mentioned, the company to date received USD 1.3 million already on this contract. The $300,000 was received before we mobilized the aircraft and the $1 million was received following the successful completion of this acquisition and delivery of the preliminary interpretation results of the test flight to Frontier Exploration Services of NNPC. Thereafter, the payments will be made upon completion of each of the 3 project milestones: Data acquisition, interpretation and delivery of a report upon satisfaction of all performance conditions under the contract. 
 Since this project was our first in Africa, a number of logistical issues needed to be overcome. The company has also delivered more than 10,000 pages of documents to NNPC and the Department of Petrol and Resources, DPR, as part of the qualification process. I would like to thank our partner, PE Energy, for their tireless efforts to make this project possible within 7 months of initiating discussions. More importantly, now that the first phase is completed and approved by NNPC, the first milestone payment is to be received in June as per contract payment terms. 
 Based on the test flight results, NXT was asked to meet NPDC, the Nigerian Petroleum Development Company Limited, responsible for offshore projects.  NPDC is a subsidiary of NNPC, which is a Nigerian National Petroleum Corporation. Following the meeting with NPDC, DPR requested NXT to conduct an offshore test flight, according to the flight line design. We have done so on April 28, and PE Energy delivered our preliminary findings a couple of days later. DPR and NPDC has now reviewed -- had a chance to review the results and asked NXT to prepare an in-depth report on the findings and presented potentially until this last week of May. Discussions are underway for a new SFD offshore survey. In the meantime, NNPC has also requested a presentation of the planning of infield flights over the onshore areas recommended by NXT. We can't provide more information on this new initiative today, but we will, as warranted. 
 Our aircraft is back in Calgary and undergoing scheduled maintenance in order to prepare for additional SFD surveys. We continue to pursue opportunities in Nigeria and are building on the momentum within Africa and the Middle East. Africa is still a frontier region for hydrocarbon exploration. Many African national oil companies, Senegal, Ghana, Nigeria and so on, want to develop the past onshore potential that has been neglected for decades to supplement mature declining offshore fields. With the current success SFD enjoys today, we will be in a perfect position to deliver significant value to our clients in any exploration environment, onshore, offshore and over any terrain. 
 The SFD survey will provide NNPC with information of potential oil and gas streams that will open up new areas for oil and gas exploration and provide increased foreign investment. We are also currently working with other companies in the region to become an integral part of their future onshore and offshore exploration programs. 
 My team and I travel extensively once the Nigerian -- will travel extensively once the Nigerian survey is completed to further develop our business prospects in Africa. 
 If you have any questions on the Nigeria contract, Rashid Tippu, our Director of Geoscience, for Africa, Middle East and Asia, will be able to address them after this presentation. 
 In other development -- other developments we announced in February, that NXT has entered into a Co-operative agreement with Alberta Green Ventures, AGV, to propose up to 3 SFD surveys within 2 years. This agreement will allow NXT to begin to build its vertical strategy in Canada, U.S. and internationally. Furthermore, NXT shares success -- in the success of SFD recommendations as the Co-operative agreement is based on a cost class formula and growth overriding royalty interest in oil and gas production, arising on lands subject to surveys in specific countries. We are currently in discussions with AGV on potential projects in U.S.A., Canada, Mexico and Israel. 
 The first project must be completed by August 31, 2019. Also, AGV and NXT have entered into a 3-year exclusive sales representative agreement in 9 jurisdictions in the Middle East, Africa and Latin America. AGV, through its affiliates, has extensive experience in these regions and is optimistic about SFD survey prospects. 
 As another entity incentive, this agreement includes at-market subscription rights for AGV to purchase treasury shares of NXT in a dollar amount equal to 25% of the contracts introduced by AGV to NXT in the first year of the agreement, subject to approval from the TSX. 
 I want to thank AGV for it's continued strategic partnership with NXT. Together, we are able to expand the reach of SFD. 
 In other business development activities, we continued marketing efforts during the quarter for the SFD technology in Southeast Asia and South America. Latin America remains to be a very important market segment for NXT. NXT is working with AGV to reestablish our presence in Mexico. We are actively seeking new SFD projects in Columbia, Peru and Brazil, and we will continue our updates as warrantied. If you have any questions on our Latin America initiative, Enrique Hung, our Director of Geoscience for Latin America, will be able to address them -- for the Americas actually. 
 Our focus in Asia is the corporation and the development of a working relationship with CNPC, the Chinese National Oil Company, and BGP, a subsidiary that provide services, especially seismic. In Malaysia, we continue our efforts to secure a contract with the state oil company of Sarawak, which intends to hire NXT offshore exploration -- for offshore exploration projects. 
 On the technology front, we are getting closer to receiving patent allowance in regards to our European application, which would include 38 countries. We have undertaken an R&D effort to develop a new algorithm that will allow us to better define areas with reservoir potential. The project is carried out internally and looks very promising. Our plan to fly the Queen Charlotte Fault project is still a priority. The purpose of this project is to demonstrate that SFD can detect or able to detect sub-surface trans variations using gravity as a proxy. The timing of the test flight over the QCF, or the Queen Charlotte Fault, will depend on the aircraft requirements with respect to new Nigerian projects. 
 In conclusion, I am extremely pleased to be able to talk about -- to you about our current Nigerian contract opportunity and potential opportunities and new contracts in Nigeria and elsewhere. This Nigerian contract is a result of many months of hard work between NXT's employees and partners. NXT continues to pursue a number of strategic contract opportunities, and I'm confident that our continued efforts will materialize into sustainable growth. 
 On behalf of our Board of Directors and the entire team at NXT, I want to thank all of our shareholders for their continued support. 
 I now ask our operator, Luke, to open the line for us to take a few of your questions. Thank you. 
Operator: [Operator Instructions] I do see that we have our first questioner lined up. 
Peter Mork: This is Peter Mork. First off, congrats guys on the data acquisition and completing that in a 2-week period. That's pretty impressive doing that on West Africa and having a point back in Calgary already. So, impressive. 
 The question I have, kind of a couple of questions. First, with regards to that. You guys talked about the planes being serviced and then before it can head back out and just reading in your filings, you guys talked about like a Phase 5 maintenance that needs to be done. How often do -- is that a constraint for you guys? I mean that would be a great thing. It's a good problem to have because you're flying. But how often do you do these maintenances like hours wise need to take place? And how many hours was the plane in the air for this contract in Nigeria? 
Eugene Woychyshyn: Peter, it's Eugene. I'll try to answer the question as best as I can. So we spent about 80 hours in Nigeria and probably, I think it was 20 hours each way to get there and back. To your first part, we have about 150 or 200 range between maintenance. So base wise was very significant, and we'll have a couple of smaller maintenances at the next intervals. And so it's -- when I'm doing my forecasting, looking at about every 150 to 200 hours. 
Peter Mork: And those can those -- do those always need to be done back in Calgary? Or is that something that could be done in country, if it's one of the smaller maintenance phases? 
Eugene Woychyshyn: So in this case, it was actually cheaper to fly back to Calgary versus getting it done. There's only a few places we can get it done, which is Valencia in Spain, and I believe, in Kansas. And then what we could do it here locally in Calgary, which ends up being the cheapest. 
Peter Mork: Makes sense. And then I appreciate it is interesting, Rashid, when we spoke last time, it was -- when you guys were going over there, it sounded like you had cornets that were offshore, for the pilot project or test, it sounds like that was shifted to onshore, but you ended up doing a test offshore. Was that over -- I mean, was it a blind test? Kind of both of them? Were they blind? Do you guys know what you're flying over? And any additional details you could provide would be interesting. 
Rashid Tippu: Yes. Thanks, Peter. Yes, Peter, it was kind of more blind because initially, they told us they want us to fly in the offshore area, as we mentioned in the last conference call. Then when we went there, they changed it to the onshore, and they said, okay, we will give you the line. So they gave us 100-kilometer in the morning, okay, to go and fly. So we've flown over and then we came back and we submitted the preliminary results. Like we -- it took only 1 day for us, and we presented the results there. Because that also very -- like a needed as per the contract to start, continue working on remaining 5,000 line kilometer. So that's like a surprise for us, but we were ready for that. No problem. 
Peter Mork: And you mentioned, were you guys flying over production? Do you know? Or was there production there? 
Rashid Tippu: No, there was no production. I think they were looking for some seismically identified structures, which one of the structure was tested and flown some gas in past. So that's what we heard from them. So nothing -- they showed us nothing, but they were very happy to see like what we recommended here. 
Peter Mork: Okay. Yes. And then how about the offshore flight that you guys did later on in the... 
Rashid Tippu: Yes. Offshore is, as George mentioned during the conference call, like it's -- we went to NPDC, who is a subsidiary of NNPC. Their main task is they have some producing assets in offshore. And they also kind of more in the joint venture with the IOCs within Nigeria. So they were interested to -- they learnt from FES, who's Frontier Exploration Services, for NNPC, like we are doing 5,000 line kilometer in inland Basin Nigeria like onshore. So they were interested to learn about SFD more, so that they can use SFD for their onshore area where they are planning for a joint venture, farming opportunities and also something to do with the offshore's near field development. So we went there, and that's where they asked DPR if we can have something, test on offshore, which was very quick as well. Like that's like another surprise. They said, okay, you fly over this area and then submit because we've flown in on 28th, and we gave a result on 30th because we finished -- on May 1, we completed the survey. 
Peter Mork: All right. Interesting. That sounds great. And then lastly, with the -- George, you mentioned the agreement with AGV, and it looks like you got a first -- deposit $100,000. And now the next time we'll be talking to you guys on next call, would be August. And it looks like the first flight is going to occur before August 31. Do you have an idea -- you got the deposit, you meant, there's like, it can be North America, it could be international, do you have any idea where that first flight would be at this point? 
George Liszicasz: Well, it could be in the U.S. It could be in Canada. I would say U.S. is more likely on this hemisphere. Mexico is a little while away. Enrique could speak to that. And Israel is very close. I would say that Israeli is the closest. AGV has secured now one of the top 5 major -- 1 of the top 5 majors for this project, that is on offshore in Israel, and we would complete the whole survey in 4 days and give them the results within 7 days. And they have to submit everything within the next 5 days after that. So we will not have any data whatsoever available to us, but we are not worried about that because there are templates that we can use offshore that are producing fields. And we can do a very good job for them and evaluate the prospectivity of the upcoming land sales or big downs. 
 But this project is based on cost-plus 25%, plus 3% royalty. 
 One more thing I would like to mention just to everybody. DPRO also has been the -- overseeing all the regulations and regulatory responsible for regulatory objectives. It's very important to know that if DPRO will sign up on the SFD technology, they may make this mandatory to be used in Nigeria. And as you all know, you have Total, Shell, ExxonMobil, Eni and so on in Nigeria. So this could be a huge step for this company. And I would like to make sure that our shareholders understand, and we don't take it lightly that these tests that they are conducting -- everybody does conduct test, but these ones are going to be very, very important for this company and delivering it in a blink of an eye. The results is very, very important because this is the new way of doing exploration. Luke? 
Operator: [Operator Instructions] I see that there are no further questioners queuing up. Mr. Liszicasz, I'd like to turn the call back over to you. 
George Liszicasz: Thank you very much, Luke. And I would like to thank all our shareholders participating in this conference call. And we are quite sure that the next time we are going to bring some additional good results and talk about it. Thank you so much. Have a great long weekend. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.